Operator: Greetings and welcome to the Centrus Energy First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Don Hatcher, Director of Investor Relations for Centrus Energy. Please go ahead, sir.
Don Hatcher: Thank you, Kevin. Good morning and thank you for joining us. Today’s call will cover our first quarter results for 2016 which ended March 31. Here today for the call are Dan Poneman, President and Chief Executive Officer; Steve Greene, Senior Vice President, Chief Financial Officer and Treasurer; and John Dorrian, Controller and Chief Accounting Officer. Before turning the call over to Dan, I’d like to welcome all our callers, as well as those listening to our webcast. This conference call follows our earnings release issued yesterday afternoon. We will file our quarterly report on Form 10-Q shortly. All of our news releases and SEC filings, including our 10-K, 10-Qs, and 8-Ks are available on the Centrus Energy website. A replay of this call also will be available later this morning on our website. I’d like to remind everyone that certain of the information that we may discuss on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time sensitive and is accurate only as of today, May 10, 2016, unless otherwise noted. This call is the property of Centrus Energy. Any redistribution, retransmission, or rebroadcast of this call in any form without the expressed written consent of Centrus is strictly prohibited. I will turn the call over to Dan Poneman.
Daniel Poneman: Thanks, Don. Good morning and thank you for joining us. I’d like to start with an overview of the progress we have made in the first quarter and what we’re doing to meet our goals for the year, both financially and in terms of advancing our long-term business plan for growth. On both counts, I think we have made progress and are moving in the right direction. In a couple of minutes, our CFO, Stephen Greene, will go through the financials in detail with you. Bottom line upfront, we are on track to achieve our annual guidance for 2016 of $275 million to $300 million in total revenues, of which $250 million to $275 million are expected from nuclear fuel revenues. We also expect to end the year with a cash balance of $200 million to $250 million. The financial results for the current period are important, but they tell only one part of the story. We are implementing a new long-term business model for the company and taking steps to position Centrus for long-term success. When we reported on our annual results for 2015, I said that our strategy rest on three pillars. I’m pleased to report that we are continuing to make progress on all three. First, we are growing our fuel supply business, which we expect to be our largest business segment for the next several years. As you know at the end of 2015, we successfully completed a revised Russian supply agreement with TENEX which gives us significantly more flexibility and extends our supply relationship through 2026 and beyond. In February, we announced that we signed several new sales contracts in the previous nine months. These are long-term contracts value at approximately $165 million, with deliveries through 2022. Second, we’re developing strategic business partnerships across the nuclear industry. We’ve made progress here as well. Just last month, we announced a new MOU with ConverDyn. While Centrus has historically focused on enriching uranium, ConverDyn is a market leader in a different part of the nuclear fuel cycle, converting uranium that’s been mined and milled into uranium hexafluoride so that it can be enriched. Under our MOU, our two companies are [exploit] with potential for joint sales of our complementary nuclear fuel products and services to utility customers around the world. And as you may recall, we have also signed an MOU with KazAtomProm, the world’s leading supplier of uranium, which gives us another avenue for potential joint sales on all the nuclear fuel value chain. Third, we are advancing our leading edge enrichment technology and are committed to returning to production as the market recovers in the years ahead. We are making progress towards this objective in two ways. During the first quarter, we signed a $32.5 million contract covering our activities through September 30, 2016, to continue working to advance our Centrifuge technology at our state-of-the-art facilities in Oak Ridge, Tennessee. The US Department of Energy has said that this technology is the “most technically advanced and lowest risk option” for restoring America’s domestic enrichment capability for national security purposes. More broadly, by diversifying and growing our nuclear fuel supply business, we are strengthening our company for the future. When the market for enrichment recovers in the years ahead and the need arises for new production capacity, we want to be well positioned to meet that need. Again, we believe that we have had a productive start in 2016, both from a financial and strategic perspective. I continue to be proud of our team and our dedicated employees and I’m confident that by continuing to executing our strategy, Centrus will meet its objectives and provide our customers with the reliable service that they look for in a supplier in the years ahead. And with that, I will turn things over to Steve Greene.
Stephen Greene: Thank you, Dan, and good morning everyone. As Dan mentioned, we had a productive quarter and are on track to achieve the annual guidance provided earlier this year for total revenue, nuclear fuel revenue and end of year cash balance. I’ll briefly run through the numbers and then discuss some of the drivers of our performance. In the first quarter, we generated total revenue of $90 million, including $16.4 million under our contract with the operator of Oak Ridge National Laboratory, of which $8.1 million was related to our work in the fourth quarter of 2015. As you know, our revenues tend to vary from quarter to quarter depending on the timing of deliveries and payments, among other factors. For 2016, we continue to project achieving total revenues of $275 million to $300 million by year end. Similarly, our total volume of sales deliveries, as measured in separative work units or SWU, declined by about 40% from the first quarter of 2015, but we expect our total deliveries for the year to be comparable to what they were in 2015. The average price billed to customers for SWU was 3% lower year over year, but our cost of sales for SWU declined by 11%. Those margins helped us achieve gross profit for the LEU segment of $8.1 million for the quarter. In February, we announced the successful completion of our 3-year technology demonstration project in Piketon, Ohio. We’re moving to demobilize that facility, while preserving our options for possible future use. The wind down activities in Piketon amounted to $12 million in advance technology costs, contributing to a net loss of $14.6 million for the quarter. Centrus expects $50 million to $60 million in demobilization spending related to the Piketon site through early 2017, although most of that spending will occur in 2016. These costs will include decontamination and decommissioning, employee severance and other costs. We had previously set aside $29.4 million in fully collateralized surety bonds as an assurance to the federal government that we would fulfill our obligations at the conclusion of this project. The cash collateral supporting those bonds will be returned when the bonds are reduced or cancelled as the company fulfills its D&D and lease obligations. Finally, our SG&A expenses declined by about $900,000 compared to the first quarter of 2015, a reduction of about 7%. That reflects reduced spending in IT, office expenses and consultants as well as salaries and other compensation. We’re committed to continuing to look for efficiencies and to drive down our costs. Just last week, for example, we completed our move to a new office space that will save us substantially in rent. Overall, our first quarter results were in line with our expectations and we remain on track to meet our financial objectives for the year. I’ll now turn the call back to Dan.
Daniel Poneman: Thanks, Steve. I want to close today by again emphasizing the progress that we’re making as an organization. We are not only on track to meet our financial guidance for the year, but more importantly, we are on track with our strategic and business development goals. We’re booking new sales; we’re developing new partnerships; we’re advancing our technology; and we’re putting ourselves in position to return to production over the long-term. The road ahead won’t always be easy and there will be bumps along the way, but we are well on our way and I’m confident about the course we have set. With that, I look forward to answering whatever questions you may have.
Operator:
Daniel Poneman: At this time, we thank everyone for your participation and certainly for your support of us as we move through 2016. And that will conclude our call for today.